Operator: Welcome. Good morning and welcome to the EMC Fourth Quarter Earnings Conference Call. All parties are in a listen-only mode until the question answer portion of the call. As a reminder, this conference is being recorded and if you have any objections you may disconnect at this time. I would now like to introduce your host, Mr. Tony Takazawa, Vice President of Global Investor Relations of EMC. Sir, you may proceed.
Tony Takazawa: Thank you. Good morning. Welcome to EMC’s call to discuss our financial results for the fourth quarter of 2014. Today we are joined by EMC’s Chairman and CEO, Joe Tucci, David Goulden, EMC’s Information Infrastructure CEO and Zane Rowe, EMC’s CFO. Joe will begin our discussion with his view of what is happening in IT and EMC’s vision and strategy. Zane will then discuss the consolidated EMC results, some details regarding our performance and also provide our expectations for 2015. David will comment on the EMC Information Infrastructure business, what he has seen in the market, and the Q4 performance. After the prepared remarks, we will then open up the lines to take your questions. We are providing you with our projected financial model for 2015. This model lays out all of the key assumptions and discreet financial expectations that are the foundation of our outlook this year. We hope that you find this model helpful in understanding our assumptions in context and in ensuring that these expectations are correctly incorporated into your models. This model is available as background in today's slides available for download in the Investor Relations section of emc.com. Please note that we will be referring to non-GAAP numbers in today's presentation, unless otherwise indicated. The reconciliation of our non-GAAP comments to our GAAP results can be found in the disclosure today in our press release, supplemental schedules, and the slides that accompany our presentation. In addition, all financial comparisons will be on a year-over-year basis, unless otherwise indicated. As always, the call this morning will contain forward-looking statements and information concerning factors that could cause actual results to differ can be found in EMC's filings with the U.S. Securities and Exchange Commission. With that, it is now my pleasure to introduce Joe Tucci. Joe?
Joe Tucci: Thanks, Tony. I would like to extend the warm welcome to everyone joining us for today’s call. As always, thank you for your interest in EMC. Overall, we are pleased with our execution and results in Q4. Year-over-year, our revenue grew 5% and our non-GAAP EPS grew 15%. Within these results, revenue grew 16% at VMware, 2% at EMC II, and 18% at Pivotal. But since Pivotal has essentially moved to a subscription model, booking is a better metric of future success and in Q4 I am pleased to report that Pivotal’s bookings grew over 75%. Our Q4 results fairly exhibit a good balance of growth and opportunity across our family of companies and undoubtedly will compare quite favorably the results posted by large cap enterprise IT peers. As our strategies, products, services, solution, and execution sets us apart in the minds of our customers. Additionally, we continue to invest heavily in the quarter to where the IT pup is going. Investments that we firmly believe will pay off down the road. Looking at the year 2014, we came in within the 0.5 percentage point of hitting our revenue goal of $24.57 billion. We were exactly on plan to non-GAAP EPS at $1.90 per share. Again solid execution against these two metrics. Zane and David will give you additional information and perspective on Q4 and 2014 in a few minutes. Before I shift my remarks to the year ahead, I would like to publicly thank the 68,000 plus people of the EMC, VMware, and Pivotal along with our ecosystem of great partners around the world for their dedication, hard work, and vast expertise and for always striving to meet and exceed the expectations of our customers. Now moving to 2015, we fully expect the secular IT shifts of cloud computing, mobile, and big data to continue with even more focus by customers on cyber security. In 2015, we expect global IT spending to accelerate a bit in constant currency terms perhaps to 3% growth overall and 3% in storage. But taking a stronger dollar into account, we expect that some of this growth will be moderated by currency headwinds when measured in US dollars. Against this backdrop, our 2015 plan as approved by our Board of Directors is for consolidated EMC to grow revenues by 7% to $26.1 billion and non-GAAP EPS by 4% to $1.98. And as is always the case, the Board will approve and assign us a free cash flow metric at the next schedule meeting. We are confident in our ability to meet and hopefully beat our 2015 plan, why? Because we have a very strong and growing position in cloud infrastructure and computing with our software-defined datacenter and hybrid cloud technologies, our services, and our world-class partner ecosystem. We help our customers build out private clouds in their datacenters and offsite managed clouds in our partners’ datacenters while also availing them to the benefits of public clouds like VMware’s vCloud Air. Together, these cloud computing options provide our customers the cost efficiencies and agility they need. We are confident in 2015, because we are hoping to lead the way with a new and very importantly open developers’ platform Cloud Foundry. This platform provides customers with the ability to build new applications using modern, again open data fabrics and in-memory computing to build and deploy applications faster with far more agility. These new ways capabilities help customers implement new digital business models which they will need to transform and grow their future business. We are confident in 2015, because we have made large strategic investments in six new business/product areas. We firmly believe that each of these will exceed $1 billion in annual revenue in future years. To demonstrate the opportunity in these six product service business areas, we expect that combined revenues to exceed $2 billion in 2015. That’s up over 100% over 2014. And while 2015 still represents an investment year for us in these six areas, our non-GAAP EPS will improve from a high teens cents per share of in 2014 to a low teen cents per share of cost this year. And lastly, and perhaps most importantly, we are confident in 2015 because we are blessed with a truly talented workforce and strong leadership team across the EMC family of companies and they deeply believe in our strategies and our future and they have a track record of excellence and execution. I would like to take this opportunity to also thank our shareholders. We have had very constructive dialogues with a number of you. We listen to you and we have learned from you and you, our shareholders, respectively listen to us and I believe you learnt from us as well. We added two additional well respected experienced Board Members who will undoubtedly add fresh perspectives to the Board and to management and I can assure you that our entire Board is very focused on creating sustained shareholder value. And to demonstrate our confidence in our bright future, the Board has approved the continuation of our accelerated capital return policy. In 2015, we will again return approximately $4 billion to our shareholders in dividends and buybacks. In closing, I would like to invite you to join Zane, David, Pat, Paul and me on March 10 for our strategic forum. At this forum, we will focus on our products, services and strategies and offerings and why we believe we will win in our chosen markets. Thank you again for joining us today. I would now like to turn it over to Zane for his formal remarks. Zane?
Zane Rowe: Thanks, Joe. Good morning everyone. Today I’ll walk through our consolidated results, capital allocation strategy, and provide our outlook for 2015. I’ll also highlight the results of the Pivotal and VMware businesses within the context of EMC and then hand the mic over to David for additional insights into the Information Infrastructure business. I am pleased to report that EMC had a solid quarter with record consolidated revenue of $7 billion up 5% year-over-year and EPS of $0.69, up 15%. For the year, we grew revenue of 5% to $24.4 billion and grew EPS 6% to $1.90. The team executed well in Q4 and over the course of 2014 enabling us to continue to outpace much of the tech industry. I want to thank and congratulate all of the team members across the EMC federation for all of their efforts throughout 2014. Our global business is impacted by the dramatic currency movements we’ve seen that began most notably in the second half of 2014. This FX headwind impacted revenue by 2 points of or about $115 million year-over-year in Q4, which was about $40 million greater than we had expected as of our last report. In Q4, North American revenues grew 6%, the US was up 7%, EMEA was also up 6%, a very good result given the currency headwinds there caused us 3 points of growth; APJ was up 2%; and Latin America was up 8%. Our BRIC plus 13 markets grew 7% year-over-year. Looking across our three major businesses, Pivotal’s revenue increased 18%, VMware’s 16%, and EMC Information Infrastructure’s 2%. The ability to cross-sell products continues to be a strength of ours and we are seeing growing success in our joint efforts to serve customers’ needs. Two key areas where we are demonstrating our collective strengths are in converged infrastructure and cross-federation solutions. Converged infrastructure is a fast-growing opportunity that helps customers transform their IT infrastructure. It is a market we pioneered with the creation of VCE several years ago and an area where we expect to continue our lead in both integrated systems and reference architectures. We are excited to welcome VCE into the EMC II family. We had strong momentum in 2014 for our converged infrastructure offerings, where we expect annual product demand grew over 40% for the year. In addition, VCE demand growth in Q4 exceeded 50% for the seventh quarter in a row. The integration work between EMC and VMware has been a key element of the successful creation of these solutions. The teams have been working on more products and EMC II will announce a new offering soon. Cross-Federation solutions, including integrated technologies and targeted services from across our portfolio are helping customers to transform their IT. The ability of Pivotal, VMware, and EMC Information Infrastructure to work closely together results in differentiated solutions with broad transformative capabilities. This integrated solution capability opens up the potential for large $100 million plus long-term opportunities with customers that would be more difficult to address separately. Look for us to rollout several new solutions here as well. As customers move forward with their transformation projects, our converged infrastructure and solutions capabilities position EMC to be a trusted strategic partner. Pivotal, VMware, and EMC II together create a unique value and in 2015, we are taking this cooperation to new levels. We continue to strengthen our technology integration and we're working to increase our operational coordination in areas like collaborative account planning, additional cross-selling initiatives, and differentiated joint services. Looking at line items driving our earnings growth in Q4. Consolidated gross margin in Q4 was 65.4%, up 170 basis points sequentially and 80 basis points compared with Q4 of 2013. Gross margin was helped year-over-year by improvements in both EMC II and Pivotal gross margins as well as the increasing mix of VMware. Gross profit increased 7% year-over-year to $4.6 billion and contributed $0.11 to the quarter’s non-GAAP EPS. Operating expense grew 3% year-over-year yielding good operating leverage during Q4. EMC II demonstrated good cost controls with OpEx down 3% versus last year. VMware OpEx was up 16% reflecting their ongoing investments in the business. In addition to the impact of the acquisition of Air Watch. Pivotal expenses also grew 10%. The growth in Q4 consolidated OpEx over last year amounted to an impact of $0.03 per share. Operating margin grew 150 basis points and operating profit grew a healthy 11% over Q4 last year to $2 billion. Tax rate was 23.8% and cost $0.02 versus last year. Our share repurchase program contributed $0.02 versus Q4 2013. As a result, we finished Q4 with non-GAAP earnings per share of $0.69, up a solid 15% and in line with our expectation. We generated $1.8 billion in free cash flow in Q4 and $5.04 billion for the full year 2014. Free cash flow was lower than our target due to the higher than expected days sales outstanding which were higher due to the timing of collections in the quarter. For the year, free cash flow was approximately $1.1 billion higher than our 2014 non-GAAP net income. Our consolidated total cash and investments at the end of 2014 was $14.7 billion, $4.3 billion of which is in the US. We repurchased approximately $1.6 billion worth of EMC shares in Q4 and returned about $240 million to shareholders via our quarterly dividend. For the year, we returned almost $4 billion to shareholders through $3 billion of EMC’s share repurchases, and $900 million of shareholder dividends. We remain committed to our balanced capital allocation strategy with a focus on returning capital to shareholders via combination of share repurchases and cash dividends. While we are not changing our long-term approach, we believe that it makes sense to continue our enhanced buyback program at this time as part of our ongoing capital structure optimization. Following the $3 billion repurchase program in 2014, we expect to repurchase another $3 billion of EMC shares in 2015. Upon completion of this program, we will have repurchased $9 billion worth of EMC shares over the three years ending 2015. We expect 2015 fully diluted shares outstanding to average 1,960 million shares. For 2015, we expect revenue of $26.1 billion and EPS of $1.98. There are three factors impacting this forecast that are worth highlighting, namely the year-over-year impact of currency rates, the inclusion of VCE in 2015 and the cost of our six key investments that Joe mentioned. Based upon year-end rates, we expect FX to negatively impact revenue by approximately $550 million in 2015 or around 2%. We have a natural hedge on the expense line so we expect this will cost us $0.10 in EPS for the year. Consolidation of VCE results will have a notable impact on the income statement. EMC's portion of VCE’s financial results have historically been recognized within our other expense line. In 2015, VCE results will no longer impact the other expense line. Instead, EMC will recognize 100% of VCE’s revenue COGS and operating expenses individually within the corresponding lines within EMC's consolidated income statement. This change will result in incremental 2015 revenue benefits of just over $700 million or about 3 points of growth. This incremental revenue is from CISCO and VCE related products and services as the revenue associated with EMC and VMware products and services was already recorded in EMC’s consolidated revenues. This change will also result in incremental COGS and operating expenses which will negatively impact EMC’s gross and operating margin. The impact to operating margins this year will be about 250 basis points. The inclusion of the incremental portion of VCE will have the effect of reducing consolidated 2015 EPS by $0.04. We continue to invest in the six areas that Joe referenced; ViPR, XtremIO, DSSD, AirWatch, NSX and Pivotal. Each of these has its own growth trajectory with varied impacts on our financials. For example, we expect XtremIO to achieve profitability this year while DSSD will require increased investments, even though it will launch late this year. These investments caused us high teens EPS last year and we expect this to improve to low teens in 2015. This is one area; we will give you more color on at our upcoming strategic forum. We are projecting operating margin of 21.4% in 2015 including the effect of currency rate changes, the incremental impact of including VCE and our ongoing investments. I’ll take a moment to comment on our Q1 2015 assumption to help you with your models. We believe that the changes we made to our order fulfillment process last year will result in a new normal quarterly revenue seasonality. Historically, Q1 revenue has been approximately 23% of annual revenues. We now expect it to be around 22% for Q1 2015 and in future years with the offset coming in Q4. Q1 2015 EPS will be impacted by a number of factors including the year-over-year revenue comparisons, the impact of VCE, and the lower incremental benefit from VMware in Q1. While the positive underlying growth trends in 2015 are being impacted by the FX changes and VCE accounting, we are establishing a solid foundation for the future while also delivering growth today as we transform our business. One example of where we are focusing our investments and building momentum is in Pivotal. Pivotal is the fastest growing of our Federation businesses. Pivotal has focused its business around three key areas, platform business service, where we introduced Pivotal Cloud Foundry in 2014. The Data Fabric opportunity where we completed the first year of selling the Pivotal Big Data suite, and agile development services via our very successful Pivotal Labs. Customers are leveraging this portfolio to build third platform applications that are transforming their businesses. Both of Pivotal’s new subscription products, Pivotal Cloud Foundry and Big Data suite are also very strong starts with about 100 enterprise customers representing approximately $80 million of total contract value booked in 2014. Pivotal’s move to a more subscription-based revenue model in 2014 will lead to a better long-term revenue profile, but does have an immediate impact on near-term reported revenue growth. To give you a sense for the strength of demand here, Q4 total bookings exceeded $100 million and grew over 75% year-over-year. This is indicative that Pivotal’s expertise in helping enterprises along their transformational journey is in high demand and unique in the marketplace. The Cloud Foundry Foundation is seeing success in establishing Cloud Foundry as the global industry standard open source SaaS technology and it is now the fastest growing open source project ever. The foundation now has a broad set of over 45 members including some newer members like Hortonworks and Doctor. Pivotal is also becoming an increasingly important factor in our cross-EMC solutions. These solutions offer a combination of products, converged infrastructure and services that offer unique value prop to customers. We will have more to say about our new Data Lake solutions including Pivotal and EMC technology in the very near future. Now turning to VMware. VMware continued its solid growth trajectory with Q4 revenues within EMC up 16% year-over-year. VMware demonstrated good progress across all three of its strategic areas of focus in the software-defined datacenter, hybrid cloud and end-user computing. NSX grew customers by 60% quarter-over-quarter and now has over 400 paying customers. It’s showing great momentum with over $200 million annual bookings rate. End-user computing grew license bookings over 60% year-over-year. And looking specifically at Air Watch, the customers count increased to over 15,000 in Q4. As the leader in the enterprise mobility management space, Air Watch has been a great success in its first year within VMware. Within the hybrid cloud opportunity, vCloud Air is also showing significant momentum with thousands of customers now signed on. With the position of trust VMware holds in the enterprise datacenters, vCloud Air is becoming an increasingly important cloud service weapon in the EMC infrastructure arsenal. We also expect that vCloud Air will become more popular with customers with the expansion of EMC value-added storage services within it. VMware has been moving to expand its offering to the software-defined enterprise over the course of the last couple of years. A significant measure of this progress is the fact that license bookings beyond standalone vSphere grew nearly 40% year-over-year in Q4 and are now greater than 55% of total license bookings. So we are making good progress there. Overall, EMC delivered solid Q4 and 2014 results while transforming our business and investing heavily in the future on our stakeholders behalf. In a tough IT environment, we grew, gained share and continue to position ourselves well while also returning capital to shareholders. We look forward to continuing to build upon these results in 2015. Now I’ll turn the call over to David to discuss the Information Infrastructure business. David?
David Goulden: Thanks, Zane and good morning everyone. I’d like to start by thanking the entire EMC II team for - through a year of accomplishments in an IT market that is changing rapidly. We continue to innovate across all of our businesses and in storage we cemented a decisively in all the flash ray market segments. We leveraged our portfolio to break new and differentiated business outcomes of customers and we continued to gain share. These share gains in storage are a direct result of our investments and our ability to manage these investments in the context of our existing market-leading portfolio. EMC is the best-of-breed Information Infrastructure provider. This is true for traditional datacenter environments where the vast majority of enterprise workforce runs on SAN and not infrastructures as well as the next generation datacenter environments, where the vast majority of new workloads are going in the future running on objects and ATFS infrastructures. This is a key differentiator for EMC and customers are increasingly turning to EMC’s bridge between the traditional and next-generation datacenter environments. With these advantages, we grew our storage business 3% in Q4 and 2% for the year and grew faster than our peers during 2014. Within storage, emerging product revenue grew 40% in Q4 and 52% for the full year. At over $2.3 billion of revenue in 2014 Emerging Product now represents a significant share of our storage revenue and growing fast. We expect the Emerging Products group to continue to grow at over 30% in 2015 and exit the year as the second largest components of storage revenue as the unified and back-up recovery. We would not be seeing this level of success have we not invested as aggressively as we have done. With the acquisition of an investment in all flash rays for XtremIO, the in-house development of our unique software-defined storage platform ViPR and our continued innovation scale out file storage with Isilon and the creation of an object storage appliance with ECS, we are helping ensure to a complete lead in Information Infrastructure extends well into future as customers transition to a third platform of IT. Highlighting the major accomplishments across our Emerging Storage product portfolio this last year. XtremIO enters 2015 with remarkable momentum with bookings more than doubling from Q3 of 2014 to almost $300 million in Q4, putting XtremIO well over $1 billion run rate for bookings. By far, this fastest growing product in history of EMC in its very first year in the market XtremIO secured a commanding lead of the market segment for all flash rays. This is because XtremIO has the right architecture. It’s scaled out legally with data services always executing in line resulting in consistent predictable low latency. This is why nearly 40% of the Fortune 200 trust XtremIO and why we have over $130 million plus customers. ViPR continues to prove its differentiated value exceeding our expectations on both revenue growth and customer acquisitions in Q4 even securing non-EMC customers validating its value propositions to heterogeneous storage management. Isilon's strong close to 2014 did showed a year of accelerating revenue growth as it benefited from a number of tailwinds including the growing demand where file implementations have expanded to the point where they require a true scale out business to manage them. And for Big Data Analytics where Isilon’s native Hadoop capabilities can offer advantages and ease of use and low cost of ownership. In fact the customer count for Hadoop on Isilon grew from over 400 customers in Q3 over 600 in Q4. Our unified and back-up recovery business grew in Q4 against a tough compare and was up 4% for the full year. While the VNX product cycle annualized in Q4, its MCx architecture continues to drive flash adoption with flash capacity shipped on the VNX up almost 7% year-on-year in Q4. VNX also added 2000 new customers in the quarter, the majority of which are new to EMC’s storage. Our data protection offering showed solid growth in Q4. Companies are investing in our data protection architecture to reduce risk as they undergo massive datacenter conservations and we are committed to expanding our value proposition here. We recently enhanced our cloud capability in back-up with the acquisition of Spanning, which backs up cloud-based applications and the acquisition of Maginatics, which offers data protection and mobility across private, public and hybrid clouds. Our high-end VMAX business was down 7% in Q4 and 30% for the full year. This decline reflects that marked slowdown in the high-end market in 2014 as new third platform workload such as Hadoop are often better suited for alternative architectures that we have in our arsenal. We at EMC, have uniquely armed ourselves with a full portfolio of storage technology, providing our customers with the right tools for the right jobs. VMAX with its strong lead in the high-end market and a double-digit increase in installed-based capacity in 2014, will continue to be a storage main safe for many years to come. One of the biggest changes with VMAX-3 is that it is 100% x-86 based differentiating its peers in the high-end. This enables to accelerate innovations and improvements via software a sustainable competitive advantage. With VMAX-3 we also added HYPERMAX. This allows us to consolidate file gateways, management consoles and almost any other infrastructure workloads creating a TCO story for large-scale primary storage that's second to none. And for competitors who claim they are falling out VMAX a quick review. VMAX scale architecture enables 16 terabytes of global cache, 384 Intel cores and over 3 petabytes of flash which can be shared across 40,000 virtualized workflows. This raw horsepower combined with the full marked data services for reliability, availability and serviceability make it unique. With the transitions that VMAX-3 occurring at the pace we expected representing about 30% of the new systems sold in Q4, we are well positioned to 2015. Taking all this into account, we expect that VMAX rate of decline to ease a little in 2015. As we look back at 2014 and ahead 2015, the constant is changed. We have experienced change before here at EMC, in fact, looking back over the past four years there has been a dramatic shift within our major storage lines towards more emerging technologies. We continue to grow the storage business and outgrow our competitors while moving these newer technologies and we are managing this transformation while sustaining the profitability levels of our storage business. More specifically, for 2014, our gross profit in storage grew versus 2013 even with the significant mix shift and in a tough market environment. This speaks volumes about EMC's expected resiliency in the face of change and our philosophy that we’ve changed in terms of opportunity. To capture this opportunity we continuously transforming key areas of the Information Infrastructure business, with our products and converged infrastructure and in solutions. First, the transformation of our products. With the growth of our storage products reflects in the shifting dynamics for the storage market as a whole, we transformed our storage development organization in 2014 streamlining it into two divisions, our core technologies division and an emerging technologies division. We maintain our key competitive differentiation as best-of-breed in traditional storage and to lay the foundation for growth as primary storage and back-up steadily converge. In Q4, we combined our enterprise and mid-tier storage division and our back recovery into one operational unit with core technology division. This fully resources allows our complete investments in traditional storage to go further by reducing overlaps and increasing the reach of innovation across the full core technologies portfolio as opposed to product-by-product. As the core technologies part is mission-critical, enterprise lock workloads, our XtremIO all flash array is now also managed within the core technology division. This rationalization of resources also allows us to direct dollar save towards next generation systems and our emerging technology division will focus on turning technology breakthroughs into leading-edge products with our portfolio consisting primarily of Isilon, DSSD, and our software defined storage portfolio including ViPR, ScaleIO, and Elastic Cloud storage. The second change is in the area of converged infrastructure. As customers look to transform the IT infrastructure for agility and the foundation for delivery of IT as a service, they are looking for a step-function and the ease of the performance and ease of management that comes with converged infrastructures like VBlock and VSPEX. With VCE adding a record number of new customers in Q4, and the remarkable growth of VBlocks and VSPEX over the last few years, it is clear that customers preference the converged infrastructure is becoming a new normal. We expect continued strong growth here. The addition of VCE will earn $0.04 less per share than business as usual this year, but in aggregate, we expect VCE to contribute to operating profit dollars in 2015. As incremental investment offers tremendous opportunity and VCE is now the foundation of our converged infrastructure business unit, which now includes VSPEX, VBlocks, and new products like the one Zane mentioned to you which we’ll hear about next week. And beyond this, you are going to expect to see several other exciting develops throughout 2015. Our market-lead in converged infrastructure in both integrated systems and reference architecture is a key strength as we look forward. IT transformation is a prevalent theme with many a large customers. Converged infrastructure allows them to transform their IT infrastructure but in many cases, customers are looking for broader IT transformations. We are addressing these broader transformations be our Cross-Federation solutions, our third area of focus in 2015. Our enterprise hybrid cloud solution which builds on the capabilities of all parts of EMC incorporates private clouds, managed private clouds and public cloud technologies and it’s helping our customers tackle own IT transformation agendas. The larger EHC-based projects we have won span many quarters and many parts of the world and have a potential to grow to exceed $100 million each. We have focused on replicating these successes with even more customers in 2015. With our enterprise hybrid cloud solution, we have customers up and running in as little as 28 days, deploy applications 75% faster and can drive down IT cost by 25% compared with traditional project rollouts. We can deliver this quickly because we’ve packaged 40,000 hours of composing work into our EHC solution. EHC is a standardized, virtualized automated infrastructure for deploying datacenter workloads enabling customers take advantage of cloud ability and economics both existing and new applications. This is why in Q4 alone, EHC won as many engagements including a large US-based insurance underwriter, a West Coast utility, a telecom company in the Middle East and a top-10 global financial institution. EHC enables true transformation at the time when customers need it. Our partners see the value proposition here as well and several are getting up to speed to sell EHC with us. To help with this, we have formalized incentives capitalized on the power of leveraging the EMC II, VMware and Pivotal go to market as Zane alluded to earlier. Customers tell us of their desire that we work more closely together and in 2015, we expect to drive greater synergies and an even better customer experience through closer alignment between the EMC, VMware and Pivotal technology and field teams. With customer engagements becoming more consulted in nature customer satisfaction with our services team is more important than ever. And in 2014, both our professional and managed services teams earned even higher marks in customer satisfaction and the already high CSAT scores of 2013. EMC is often excited of the share gain in CIOs surveys as in this recent survey from Credit Suisse. This position of trust is a major strength to any time but especially during times of major industry change as our customers are experiencing right now. By continuously focus on providing the best customer experience, as customers speak nothing sure of transformation of how IT works for that business, we are helping to ensure, retain this tough spot with customers. We are doing what we need to, to continue to earn customers’ trust when it comes to handling their data, whether that’s restoring, optimizing, leveraging or protecting it, robust data protection includes not just availability but security as well. And in a world it’s increasingly mobile, social and cloud-based, our RSA security division is an increasingly important strategic part of our information infrastructure offering. RSA revenue grew 4% in Q4 and 5% for the full year. Our market leadership in GRC, our technology leadership in security analytics, and our strong base in risk-based identity position us to well help customers secure the next generation cloud-based IT environments. IIG’s Revenue was down 8% for Q4 and down 1% for the full year as the transition for subscription-based revenue model has been accelerated by the rapid growth of necessity where revenue growth doubled in Q4 and for the full year. We also saw a nice increase in profitability in 2014 with respect to sustained. As we look ahead to 2015, we expect IT spending growth and storage spending growth in constant currencies to be a little strong than it was in 2014. We also expect to see solid opportunity for EMC’s offerings and we enter the year energized. We have aligned our business to reflect the changes and opportunities in today’s market. We continue to innovate and lead and gain share in this slow growing, but massive market segments of enterprise network storage and the back-up recovery for these storage systems. We are making enormous strides in the faster growing areas of storage such as all flash arrays where we are also the market segment leader with the market segment leader in the converged infrastructure market segment. We have significantly higher market share in these new areas than we do in the enterprise network storage markets. We are leveraging the power the federation help our customers with broader IT transformations both existing apps and for new apps. And we are working on truly game changing technology across all areas of the federation bring to market in 2015. With these advantages, in a time of rapid evolution of enterprise datacenter supported by a customer facing team that adept the leveraging this broad portfolio to deliver business outcomes for our customers and partners, we are confident that will continue to execute the competition in 2015 and beyond. With that, I’ll turn it over to Tony for Q&A.
Tony Takazawa: Thanks, David. Before we open up the lines for your questions, we ask you to try and limit yourselves to one question, including clarifications. This will enable us to take as many questions as possible. We thank you all for our cooperation in this matter. Joe, can we please have the first question?
Operator: Certainly, one moment. Our first question is from Amit Daryanani with RBC Capital Markets. Your line is open.
Amit Daryanani: Thanks much. Good morning guys. I guess my question is really on the XIO and VMAX dynamics. XIO clearly seems to be doing very strong at the same time VMAX has slowed down quite a bit. There is a lot of concern I think that, XtremIO may be cannibalizing some of the VMAX sales. But to the extent you can just talk about, how much of that is true? How much of that are you seeing? And is XIO really bringing net new customers into the EMC family?
Joe Tucci: David, let me take that one. So, great question. We are very impressed with both platforms and we really have a kind of power and story going on here. Let me explain what I mean by that. Typically, when we got to XtremIO, we’ve actually updated our data on that as we spoke to you last time. You looked at the sales in Q4 and the sales of XtremIO are in like a third to third to third, what I mean by that is a third of them are going into existing EMC accounts where people are re-hosting workloads is either existing on a VMAX or a VNX, so impact both. The third of them are in the EMC account, but net new workloads and a third of them are into net new accounts. So essentially two-thirds of the XtremIO sales are into either new workloads on new accounts and only a third is the re-hosting workload sitting on, on existing EMC platform. So, we feel good about that particular dynamic and we also feel very good about the strength and position with VMAX also that vanilla question.
Tony Takazawa: Thanks, Amit. Next question please.
Operator: And our next question is from Maynard Um with Wells Fargo. Your line is open.
Maynard Um: Hi, thank you. If I take your constant currency revenue guidance and then remove the Emerging Storage growth of north of 40% and then the $700 million from VCE the remaining pieces look like they are growing. Can you just talk about the make-up and visibility of that, you referenced VMAX decline is moderating, but can you walk through the other segments and then just talk a little bit about what impact the mix shifts might have on your gross margin? Thanks.
Joe Tucci: Yes, Maynard, that sounds like a multi-part question, but let me address the revenue part. Yes, obviously, there are number of - and it’s a little complicated with the impact of VCE and also the impacts of FX. But let me kind of give you a couple of perspectives, because Zane told exactly how much each of them were. So, if you kind of normalize them out, and I realize that’s only a piece of theory and axle, but you normalize them out and actually the storage business will be growing faster in 2015 in constant currencies than it was in 2014 and actually you also see a gross margin improvement in 2015 versus 2014 when you normalize them out as well. So perhaps, it’s the best way to think about the moving parts since it’s more specifics we can take that in a follow-up question.
Tony Takazawa: Thanks Maynard. Next question please.
Operator: Our next question is from Aaron Rakers with Stifel. Your line is open.
Aaron Rakers: Yes, thanks for taking the question. I'm going to build on that a little bit. When you take all the emerging pieces and you strip out the $2 billion in revenue, you strip out VMware, it really looks like - by my math the core business looks to being declining anywhere from 3% to 5%. So first of all, is that math correct? And how are you thinking about the goalpost of that $2 billion with regard to that - that dilution to the EPS line? When do you think that becomes neutral to positive to the overall EPS story?
David Goulden: Why don’t we start with the second part of the question, right which is why put that one first in terms of, so that - so, in terms of these five areas, those six areas, down to took up where they are going to go beyond 2015 is something we’ll talk about at the forum which we mentioned we are not going to get into that today. On the normalization calculation, I mean, obviously there are number of things going on inside of the business. If you strip out everything that’s drawing, then obviously, then certain parts of business are up and certain parts of business are down. Remember what we’ve talked about VMAX, we do expect that, even though we are very excited about the technology in VMAX-3, along new enterprise apps going into different types of workloads to the more suited for alternative architectures to that part of the business will actually be down a little bit less than it was in 2014. So you got to look at the puts and takes. But I think it’s sounds a little bit unfair to strip out everything that’s growing and only look at what’s left. And then you got to look at the portfolio and how we are shifting and how does the portfolio moves with a higher percentage towards the new areas you actually see our growth rates are picking up. It’s really representative of the transformation we are doing of the business and how that transformation is now showing through in terms of accelerating revenues and improving gross and operating margins.
Joe Tucci: Let me add a little color. When our sales force goes in they don’t think about declining what’s declining, what’s growing, what they think about is, what are the customers’ needs and then we have a whole portfolio of products and as you can see, that’s our strength and as we are doing that, you can also note that our gross margins are doing well. So far, that we are substituting our low gross margin products or high gross margin products, that’s why we approach it. It truly is as David said the power of - that is the power of EMC is the fact that, VMAX has a great fit in many, many of our customers but also along with many times with XtremIO along with many times with ScaleIO and the fact that we can do that and with the margin profile we that Zane laid out is I think our strength. You should not look at it, these are declining, that’s all bad, this is all good. I mean, can we - how does this work in terms of the customer set and it’s working quite well.
Aaron Rakers: Thank you.
Tony Takazawa: Thanks Aaron. Next question please.
Operator: Our next question is from Alex Kurtz with Sterne Agee. Your line is open.
Alex Kurtz: Yes, thanks guys for taking the question. Just - on the buyback, I think there was some expectation going into this call and in the Analyst Meeting next couple of months here that the buyback may have been bigger based on Elliot's involvement. So, could you just give us your thoughts on how you got to that number and whether or not you could upside that during the year? Thank you.
Zane Rowe: This is Zane. Thanks for the question. First off, we obviously are benefiting from a strong balance sheet and as Joe talked about a lot of good investment in the company. So, as you mentioned I think there are expectations across the board on a buyback. We feel very comfortable with the flexibility we have. I mean, part of this is about balance and it is about a philosophy that hasn’t changed with the company. So, it is a balanced approach to it. We feel like, we do have flexibility for a number of different options, should they rise through the course of the year.
Tony Takazawa: Thanks Alex. Next question please.
Operator: Our next question is from Keith Bachman with Bank of Montreal. Your line is open.
Keith Bachman: Hi, many thanks. I was wondering, David, if you could flush out a little bit more on VCE and talk about the strategy now that it's consolidated within EMC and specifically, Cisco has notional investment there might you broaden out to other networking vendors. When would you anticipate that profitability would improve or is it always going to be a drag on margins? But if you could just flush out the strategy as you look at VCE that would be helpful. Thank you.
David Goulden: Well, thank you, Keith. We first are very excited to have VCE as part of the family we talked about how rapidly it’s been drawing just logged about seventh quarter of 6% plus bookings growth and of course CI is a very strategic piece of infrastructure generally going forward. So I think it’s a great to asset to have. In terms of where we are going with it, there are couple of points, first of all, we are very committed to the partnership with CISCO, and very committed to VBlock. We want to change - exceptionally well. We will continue to incorporate more technologies from EMC, from VMware and also new technologies from CISCO, as well and we don’t really have any short-term plans to significantly broaden the portfolio. What we are focused on doing though is bringing a lot of our convergence infrastructure assets together. So we use to run these specs as a separate program, that’s now part of VCE. We are doing some new work that we will announce next week around new converged lower end type of converged systems at - of the VCE. So, it’s really creating a consolidation place to bring all of our converged infrastructure assets together and then leverage them more and more closely. And then finally from a margin point of view, I mean, I mentioned the fact that obviously compared to business as usual, with there is an impact of 2015, but I did want to reinforce that if you look at the aggregate effects of VCE together, it does contribute operating margins in 2015 even though compared to business usual it’s a little worse and as the business grows, we think we can continue to leverage and improve our position.
Keith Bachman: Okay. Thank you, David.
Tony Takazawa: Thanks Keith. Next question please.
Operator: Our next question is from Kulbinder Garcha with Credit Suisse. Your line is open.
Kulbinder Garcha: Thanks. My question is for David and Zane. Just in terms of maybe looking at the guidance this way, let's strip out the impact of VCE, strip out the impact of VMware and revenue growth of what predominantly information storage, it seems to be kind of 2% to 3% and the margins operating-wise seems to be going down if I take out VCE and the impact of VMware. Is that the right way of thinking about it and I'm trying to think about where in that, David, versus your comments on the confidence this year of the storage market reaccelerating, IT spending being better and gaining market share. I know currency is a headwind by a couple of points as well, but it just seems like that guidance is either conservative or there is some caution or maybe I am doing the math wrong?
David Goulden: So, Kulbinder, I think you missing a little bit, you are missing the impact of FX. So, you take out VCE, take out VMware and I think you also got to normalize for FX because for the EMC Information Infrastructure business, it’s about 2.5% of revenue growth impact. So you back that out and you actually find on a constant currency, we expect the EMC II business to grow faster, but in 2014 we expect the gross margin be better than they were in 2014 and we expect the operating margin to be better than they were in 2014. The FX impact is not insignificant 2.5 points of revenue basically about 70 points of gross margin, about 80 points of operating income when you look at just EMC II. So that’s the way you need to think about. So it basically does for our storage that we expect - storage market to do a little bit better in 2015. We expect that EMC’s storage business to be better in 2015. We expect to better in the storage market in 2015.
Kulbinder Garcha: Got it. Thank you. Great.
Tony Takazawa: Thanks Kulbinder. Next question please.
Operator: Our next question is from Brian White with Cantor Fitzgerald. Your line is open.
Brian White: Yes, Joe, I am wondering if you could update us a little bit on the discussions with Elliot and kind of how you think about enhancing shareholder value. And I am just looking back, I mean, the stock is at the same place it was four years ago and I think people are getting a little anxious. Thank you.
Joe Tucci: We basically, we started doing considerably better in this last - I think on the back of a lot of news mostly related to currency, tech has some pretty bad days. So we are looking at tech in a bit of a trough. Basically, Elliot has been a good shareholder, and very constructive. We have had a lot of dialogues. We have tremendous potential and I think the forum on the 10th is going to be - we are not going to talk about structure, just to kind of - the address will probably everybody think it, but we are going to talk a lot about the options we have, our strategies, our products, why we can win, some of the actions we will take. And I think you will see that, we are doing a lot better than almost all the companies that were born in our era, so to speak. And we had a consistent growth. We’ve got great opportunities in our investment and I think a lot of what, people want to know is exactly when did these kind of headwinds on these investments we make can become tailwind and those are the kind of things we’ll lay out for you and why we think we can win in the market. So, again, we have a very open dialogue with Elliot as we do with a lot of shareholders. And, I think lot of attention and I think, the 10th will give you a lot of the answers you want. But we are going to just this again. We are not talking about structure, we are talking about our products and our options and how we can win.
Brian White: Thank you.
Tony Takazawa: Thanks Brian. Next question please.
Operator: It comes from Jayson Noland with Robert Baird & Company. Your line is open.
Jayson Noland: Great. Thank you. I wanted to follow-up on the emerging growth portfolio. There is lots of new and impressive - hyper-converged and efficiency-based technologies, companies that are taking a lot of share. David, are you happy with the portfolio as it sits right now and just basically wondering if there is an acquisition that needs to be made here or is it more of a tuck-in and build from - build internally?
David Goulden: Jayson, I am really happy with what we are doing in our emerging area. Again, 40% growth in the quarter, 50% plus the year, $2.3 billion business, and I’ll figure and all the little guys put together in that segment. I don’t want to give away too much but there will be a hyper convergence team around our announcement next week in terms of an area where we are going to lay aggressively ourselves. So, we think, we got the key assets. We are doing more joint work VMware that brings new solutions together. So I feel really good about where we are. If I look across these segments in the emerging area, we are the market leader in all the segments we could play and we’ve done incredibly well with XtremIO. I think we are doing incredibly well with our new solutions as well.
Jayson Noland: Thank you.
Tony Takazawa: Next question please.
Operator: It comes from Jim Suva with Citi. Your line is open.
Jim Suva: Thank you and congratulations. A quick question, you mentioned the new or normal seasonality for Q1. It's been a long time since we've had kind of a normal operating environment given government sequestering and lots of things and now with the fold-in of VCE. Could you kind of update us on what normal seasonality is kind of - not only for Q1, but I guess, just normal for your full year?
Zane Rowe: This is Zane. I’ll start with that. I guess, taking from your question, line of question I probably should have an aspect on the new normal, because there are always these exogenous events that may alter that. As we talked about and David mentioned last year, the shift in the fulfillment process and making that process more efficient will have an impact on what we would call sort of new normal or a typical revenue profile through the course of the year. And what we tried to do is, just help you out and give you a sense of what impact that would have on revenue with the new normal being 22% of our full year revenue coming in, in the first quarter. And that’s a swap from the fourth quarter. So, it’s a point where you would historically see our percent of revenue mix in the first quarter and that’s a trade-off with the fourth quarter which should obviously increase the opposite amount. And then the remaining two quarters are roughly flat if you would just think of that profile through the course of the year.
David Goulden: Maybe just to add to that, just to help a little bit, what we said about Q1, remember, we kind of started our changing our order fulfillment process this time last year and you saw we had little bit more than 22% in Q1 last year, because it didn’t find, complete those change until Q2. So we are kind of explaining, we’ve actually got there and we talked about 22% as what we expected last year, we are short a little bit last year, but we now got locked in more that 22% level for this year
Jim Suva: Thank you very much.
Tony Takazawa: Thanks, Jim. Next question please.
Operator: Our next question comes Toni Sacconaghi with Bernstein. Your line is open.
Toni Sacconaghi: Hi, yes, thank you. Joe, I was wondering if you could update us on your plans and leadership transitions at EMC. You talked publicly about February, plus or minus a few months in terms of being a transition. Obviously, the standstill agreement with Elliot had a date ascribed to it as well around September. So I am wondering, A. if the two are related in any way and B. if you can provide an update on how we should be thinking about a leadership transition at EMC in the near term? Thank you.
Joe Tucci: Sure, thanks Toni. I think, I’ve been inconsistent and basically because, with the Board they gave me contract that ends sometime in February. I think a lot of - there was lot of focus. I tried to say that February was a guidepost and I said it could be couple of months and couple of quarters earlier, which obviously was not and it could be a couple of months, couple of quarters, few quarters later. And then, I’ve also said that the Board has talked to me and I would look favorably upon saying on this and involve Chairman and not of an involve Chairman for a longer period than that. So basically, this is still within the guidelines, I don’t want nor as the Board agrees that we are not going to put another date with another contract. I am serving at the will of the Board, the will of the all the employees here and of course the will of our shareholders and I am really excited about our opportunities and our prospects. So it’s not directly related to Elliot, but it’s just kind of what we are going to do to make sure everything is smoother succession we can possibly have here.
Tony Takazawa: Thanks, Toni. We’ll have a few concluding comments from Joe now and then we’ll end the call. Thanks.
Joe Tucci: Thanks for joining us and hopefully you have left with the feeling that we deeply believe in our opportunity that we can win in the significant IT transformation that is taking place. We have an incredibly large and valuable stable of relevant leading technologies and services to both today’s market, today’s IT world and tomorrow’s IT world. We have the people, the leadership and the expertise that trust in what we are doing, believing what we are doing and customers’ trust them to help them on their IT journey. And we look forward to sharing more with you at our strategic forum. So whether be it the web or in person, please join us and again, just thank you so much for your interest in EMC.